Operator: Greetings and welcome to the Ecolab First Quarter 2018 Earnings Release Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mike Monahan, Senior Vice President, External Relations. Thank you, Mr. Monahan. You may now begin.
Michael J. Monahan - Ecolab, Inc.: Thank you and hello, everyone, and welcome to Ecolab's first quarter conference call. With me today is Doug Baker, Ecolab's Chairman and CEO; and Dan Schmechel, our CFO. A discussion of our results along with our earnings release and the slides referencing the quarter's results and our outlook are available on Ecolab's website at ecolab.com/investor. Please take a moment to read the cautionary statements on those materials stating that this teleconference, the discussion, and the slides include estimates of future performance. These are forward-looking statements and actual results could differ materially from those projected. Factors that could cause actual results to differ are described under Item 1A, Risk Factors, of our most recent Form 10-K and in our posted materials. We also refer you to the supplemental diluted earnings per share information in the release. Starting with a brief overview of the results, Ecolab's strong growth momentum continued in the first quarter. Further new business gains, pricing, and product innovation drove strong acquisition-adjusted fixed currency sales growth in all of our business segments. That solid top line growth along with cost efficiency, lower interest expense, and a reduced tax rate yielded the first quarter's 14% adjusted earnings per share increase. These results were in line with our prior forecast as adjusted for the new accounting standards. For more information on the impact of those standards, see our April 18 Form 8-K. Moving to some highlights from the quarter and as discussed in our press release, first quarter 2018 adjusted diluted earnings per share increased 14% to $0.91. This compared with adjusted diluted earnings per share of $0.80 a year ago. Consolidated sales rose 10%. Acquisition-adjusted fixed currency sales increased 6%, with strong growth in all of our business segments. Regionally, sales growth was led by North America and Asia Pacific. Adjusted fixed currency operating margins decreased 60 basis points as pricing volume increases were more than offset by rising delivered product costs. Adjusted fixed currency operating income rose 2%. The operating income gain along with lower interest expense and a lower tax rate yielded a 14% increase in first quarter 2018 earnings per share. Adoption of the new revenue recognition standard had a $0.01 per share favorable impact. We continue to work aggressively to drive growth, winning new business through our innovative new products and sales and service expertise as well as driving pricing and cost efficiencies to grow our top and bottom lines at improved rates. We also see continued good underlying sales volume and improving pricing across our business segments and look for that to more than offset continued delivered product cost headwinds and yield stronger income growth. We raised our 2018 earnings forecast. We now expect adjusted earnings per share to rise 13% to 18% to the $5.30 to $5.50 range, with second half earnings growth outpacing the first half as volume and price gains increasingly offset the expected impact of higher delivered product costs and systems investments that will have a greater impact in the first half. We expect strong second quarter sales growth with lower operating margins as improved sales momentum and accelerated pricing are more than offset by higher delivered product costs and systems investments. Adjusted diluted earnings per share are expected to be in the $1.23 to $1.29 range, up 10% to 15%. In summary, we saw continued strong momentum in our business as we began 2018 and expect further improvement over the balance of the year to deliver 13% to 18% adjusted earnings per share growth. And now here's Doug Baker with some comments.
Douglas M. Baker, Jr. - Ecolab, Inc.: Thanks, Mike. So our first quarter was a good start to what we anticipate will be a very good year. We had strong top line across the board, 10% reported, driven by 6% organic sales. We had good Industrial results; strong Energy; and other, i.e. Pest results; and much improved Institutional sales results. The leading metrics were also solid. New business was up double-digit versus a year ago with strong new product portfolio performance. And pricing continues to progress, and it needs to, because inflation will be even more significant than originally forecast but we believe it's well in-hand and will be well-managed. Q1 represented the high point on a year-on-year basis for raw material increases. We have increased our pricing targets and pricing will continue to build through the year and provide margin leverage beginning Q3 onwards. Separately, we're putting together a comprehensive plan to leverage our system investments, further enhancing SG&A efficiency over the next several years which will provide an added large margin lever, too. In short, we have strong underlying business momentum, pricing overcoming inflation, competence in our ability to navigate the uncertainties, all of which led us to raise our full year forecast. So with that as an overview, I'll turn it back to Mike.
Michael J. Monahan - Ecolab, Inc.: That concludes our formal remarks. Operator, would you please begin the question and answer period?
Operator: Yes. Thank you. Thank you. Our first question today comes from the line of David Ridley-Lane with Bank of America Merrill Lynch. Please proceed with your question.
David E. Ridley-Lane - Bank of America Merrill Lynch: Sure. Good morning. Wanted to ask a longer-term question on Energy. Assuming crude prices are stable in the $70 or so range, is it a reasonable expectation to believe the segment could return to prior levels of profitability circa 2014 or do we need to see a sustained increase in oil prices to reach back into the mid-teens operating margin?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well I would say we believe that if oil prices did happen to be stable for the foreseeable future, i.e. the end of the cycle, that you would ultimately get back to the mid-teens but it would take a little longer than if you had a, let's say, continuing rise in price. But we would look at that as a favorable environment, though I would also consider probably unexpected just given the history of oil and the likelihood that we haven't seen the last cycle. What we're seeing in oil is balance, if you will, in terms of supply and demand and a lot of political risk, most of which everybody suspects is baked into the price. But the political risk feels more real than not. Ultimately, there's been a lot of CapEx taken out of this business and there's going to need to be more put in just to meet the increased demand and the inability of current supply to meet that demand because it flows off. So that means new oil, and we like new oil. New oil commands more of our technology than the oil it replaces, and that even in a fairly flat environment drives market growth for us. So that's why if you said stable at $70, we would see that it's a growing market. Our ability to grow would be fairly significant over a period of time and we do believe we'd get back to mid-teens.
David E. Ridley-Lane - Bank of America Merrill Lynch: And then just a quick follow-up on any potential risk from tariffs. If you've done any work on that either directly on Ecolab or indirectly through tariffs on raw materials. Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. We don't believe we have outsized risk on tariff. Our strategy has always been to try and make where we sell, i.e. make product, secure raw materials, et cetera in the currencies that we're building in to mitigate both currency risk from a strategic standpoint and/or trade risk. And so that will serve us well as we go through this. So I think the tariff impact for us specifically would be fairly nominal. The larger risk of course on tariffs is what to do with the overall economy which of course we wouldn't be completely shielded from, but we would share in that pain with everybody else. And historically, I'd say in difficult environments we perform well, at least relatively well.
Operator: The next question comes from the line of Manav Patnaik with Barclays. Please proceed with your question.
Manav Patnaik - Barclays Capital, Inc.: Thank you. Good afternoon, guys. Maybe just to follow-up on the Energy question. Like I think you talked about earlier on trying to decyclicalize or make less cyclical I guess the Energy piece. I know WellChem is a smaller piece but any update there in terms of your portfolio review on that side?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well, we've exited a couple of small businesses that were in the Energy portfolio that were particularly cyclical. They were almost completely related to drilling activity. They were equipment-related or capital equipment-related, so that occurred both fourth quarter and first quarter. So that's a little bit of a beginning of moving on a review we've performed. But that's the only thing that's occurred right now. I'd say within the portfolio and in WellChem, we continue to look for growth in what I would call the more stable part of that portfolio and emphasizing those technologies versus those that might be closely related to drilling activity, and that work has also begun. That would be the two current updates.
Manav Patnaik - Barclays Capital, Inc.: Got it. And then I was just hoping if you could you just address the Healthcare performance this quarter. I mean, that was way below expectations I guess on our end. It sounded like you were getting things back, and now is it just a timing quarter blip? Can you just address that?
Douglas M. Baker, Jr. - Ecolab, Inc.: Sure. Yeah, we agree. I mean, Healthcare had a weaker than expected quarter. We expect it will probably continue through a portion of the second quarter. We do remain confident that the balance of the year post that is going to be back more in normal range. Europe, particularly France, is slower than anticipated. Some was just underlying market growth. We were also going against a fairly strong performance year ago in the first quarter. But we had a technology delayed by regulatory issues. Those issues have been resolved. The product is now shipping. And in the U.S., we were lapping a couple of large initiatives last year around intuitive and room hygiene rollouts. So the rollouts that we have, the new business that we have gives us confidence that this is going to be a temporary issue, and it will be back to growth.
Manav Patnaik - Barclays Capital, Inc.: Got it, all right. Thanks, Doug.
Operator: Our next question comes from the line of John Roberts with UBS. Please proceed with your question.
John Roberts - UBS Securities LLC: Thank you. How is the M&A pipeline looking? And are there more discussions underway, say, in one market area than another?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well, I would say we're a fairly constant driver of M&A and have been for a number of years. So the activity doesn't really wax and wane, it's fairly consistent. And I would say our pipeline remains rich. I think we've talked before that the businesses we're in, we're in because we believe they're growth businesses. We're open to acquisitions in virtually all of them. There are a couple of exceptions that we cited. Paper and probably the WellChem area would be the two most notable. With those as exceptions, all others we would be open to driving growth via acquisition if it makes sense. Pipeline looks good. We would expect to have other deals done this year. Obviously that's going to be dependent upon another party agreeing with us on valuation and all the rest. And we'll continue to work hard to be good stewards of the shareholders' money and not force things by paying too high a multiples.
John Roberts - UBS Securities LLC: And then, Doug, as you roll out more digitally-enabled offerings in the future, do you accelerate obsolescence on the installed base of dumb equipment? And does capital spending accelerate, since I think that's a large part of your CapEx budget? Or is it – it's something that will be immaterial? It'll be upgrading stuff, and we won't notice it?
Douglas M. Baker, Jr. - Ecolab, Inc.: I don't think it'll be a material change. We are working in much of the equipment that we have installed that, say, isn't connected to the Internet. And so we don't have the ability to get information from the device that's collecting it to the cloud, per se. That, we're working on retrofit items that are fairly cost-effective that will enable us to move it from the current device to the cloud, cost-effectively. So it's not going to entail a whole retrofit, like rip out and replace with all new, which would add significantly to capital over the near-term. So I don't think it's going to be a big noise.
John Roberts - UBS Securities LLC: Okay, thank you.
Operator: Our next question is from the line of Chip Moore with Canaccord Genuity. Please proceed with your question.
Chip Moore - Canaccord Genuity, Inc.: Yeah, thanks. Maybe you could talk a bit about the ERP investments. It sounded like you were a little more comfortable on some of the returns, particularly on the margins. Maybe you can provide a little framework for us. Thanks.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Well, the ERP investments in particular are more loaded in the first half than the second half. And we're sitting here in May 1, I would say it's going as well as these things go, meaning there's no news to report on the call. We put in a new finance package across the U.S. That turned on effectively and on time and we've got crudely 30% of our U.S. supply being run on this system. And we'll be rolling out in other waves the balance of the U.S. And that plant went on and we're manufacturing effectively, billing, shipping, collecting, all the things that you would hope would happen. So I don't think this is going to be real noise this year. If anything, it was a little better than our worst fears in the first quarter. And I would expect you would see the same thing in the second quarter as we move forward.
Chip Moore - Canaccord Genuity, Inc.: Got it. Thank you.
Operator: The next question comes from the line of Tim Mulrooney with William Blair. Please proceed with your question.
Tim M. Mulrooney - William Blair & Co. LLC: Yeah, good morning. It looks like the Institutional division has picked up, some of which I think is maybe distributor restocking but also probably some fundamental improvement as well. Is that a function of stronger retention or pricing or customer traffic trends? Would appreciate just any details on what's happening in the Institutional division specifically.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I would say things played out much as we foresaw during our last call. And if you recall, during that call we discussed our offense really wasn't sufficient given soft market conditions in that our offense has been impacted in particular by a delayed warewash launch which was occurring in December. So I'd say markets are marginally better. I'm not sure it's the huge driver but it certainly it's better. The offense execution I think is materially better. So while the underlying market was good globally it was decent in the U.S. Our retention results, which you brought up, continue to be very good and kind of in the best-in-class range versus our history. So there wasn't a lot of room for improvement there. What really happened is we had improved new business driven by a strong SMARTPOWER launch which is the big warewash launch I referred to earlier that had previously been delayed. I think we're also leading the shadow of the Swisher and field technology introductions that we've talked about in the past. Our view, so we had a reported 5%; really that's a 4% underlying and probably 100 basis points of that growth from channel refill. And the 4% underlying growth compares to really 3% underlying growth in the second half last year. So it's ticked up, it's ticking up as we anticipated and I would say we expect continued good execution through the year, a decent market, foresee 4% underlying growth in Q2 as well and that accelerating to end the year at a 5% underlying growth rate.
Tim M. Mulrooney - William Blair & Co. LLC: Okay. Thanks, Doug. Maybe switching gears to your Food & Beverage business. In your supplemental you highlighted that new business wins are offsetting continued challenging industry conditions in the food and beverage industry. You guys had great results here, so can you just expand on what you mean by challenging industry conditions and what you expect there?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I would just say many of our customers are in a difficult environment. So large food processors and, in some cases, large beverage or brewer situations are more challenging than normal, and that always has some impact. It could lead to plant closures, consolidations, et cetera. With that said, I would say we remain quite bullish about our F&B business. We've managed through these issues over time quite successfully; expect to do the same this year. We've had a lot of net new gains in that business, many of which will start driving I think even enhanced sales performance for the balance of the year. So I think we sit in a pretty comfortable place at least as we can see right now from a Food & Beverage standpoint.
Tim M. Mulrooney - William Blair & Co. LLC: Okay. Thank you.
Operator: The next question is coming from the line of P.J. Juvekar with Citigroup. Please proceed with your questions.
Scott Goldstein - Citigroup Global Markets, Inc.: Hi. Thank you. This is Scott on for P.J. If we can just talk about some of the margin pressure year-over-year, the 100-basis point decline year-over-year. Can you perhaps give more color on how much of that came from maybe higher raw material prices versus some of the compensation rebuild in Energy and any other product costs that we can separate out?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. So are you referring to OI or are you referring to GP?
Scott Goldstein - Citigroup Global Markets, Inc.: Operating income.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. So operating income, if you adjust out acquisitions and currency and the rest, was off I think 60 basis points. And I would say a couple of things. If you go up, I mean clearly as I mentioned earlier you're dealing with the largest year-on-year raw material impact. That will dissipate the year-on-year impact. We do not expect raw materials to become cheaper. They're simply going against an easier base because it was a more difficult situation a year ago, and that really began in Q2 last year. And so that's the comparison that eases for us. Pricing will continue to accelerate as we go through this. But at the end of the day, pricing is going to rise we think throughout the balance of the year, moving now from kind of around 1% but obviously a little north of 1% to about 2% for the balance of the year; sometimes rounding up, sometimes rounding down but building as we go throughout the year which will enable us to start seeing improved both gross margin and OI margins beginning in Q3, in some businesses as early as Q2. The real build here is mostly raw material, maybe there's (21:53) some one-time noise. There's a little bit compensation build in some businesses but that's not the big news. We have investments that are predominantly in the first half versus the second half, so it's raws, it's investments both of which ease throughout the year.
Scott Goldstein - Citigroup Global Markets, Inc.: Okay, thank you. And on the Colloidal Technologies business that you separated out, can you just provide some background on that business and why did it makes sense for you to start reporting it as a separate line?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Our plan is to start reporting it this year prior even to the Equipment Care divestiture. I mean, truth is it takes a while to unpack all of the businesses that existed in the formal Nalco business. I think Colloidal was sort of in and buried. I mean, we knew about the business. But as we learn more about it, it's really we would consider it. It's a good business. It's more a Specialty chemical business. Doesn't have the same service component that virtually all of our other businesses have, so it's managed a bit differently and is a little different than the balance. So the decision was really made late last year that we'd be moving this into the other category as a consequence of its uniqueness. The business, basically we got into this business, if you will – I'm saying the royal we, saying Nalco history in the 1940s and 1950s – it used to be technology used in the water treatment area that was supplanted by technology in other areas. But they learned over time that this technology made a lot of sense in other industries, polishing metal, polishing glass, molding, et cetera. So it's a business with pretty solid customers, very good margins. It grew double digits last year. We anticipate it'll probably have slower growth this year as we focus on margin there as well because raw materials are pretty much a pressure in every business. So it's a good business for us but that it belongs in other.
Scott Goldstein - Citigroup Global Markets, Inc.: Okay. Thank you.
Operator: The next question comes from the line of Christopher Parkinson with Credit Suisse. Please proceed with your question.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Great. Thank you. You hit on this a little on the cost side, but in terms of price cost on neutrality can you just walk us through the current pricing initiatives and just how you expect them to roll through the balance of the year? It sounds that in terms of magnitude that you have a pretty solid base case and that pricing is still linked a lot more service-level or value proposition and not necessarily cost. Is that the best way to think about it over the long-term? Thanks.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I mean, getting pricing is always difficult. I would say we work hard to be sort of continually on the price program, if you will, with customers simply because we work, if you will, to smooth the ups and downs in the raw material market with our customers. We can because raws represent, I don't know, 20-some odd percent of our total P&L, and all businesses would prefer sort of steady impacts versus sharp shock impacts. So when there's an inflationary period we obviously up the amount that we seek and secure from a pricing standpoint. Certainly, having an inflationary environment gives you a better backdrop for pricing discussions. We don't want to lose out on that. It also drives frankly more critical need to get it. We have very many different pricing scenarios with customers. Some have quarterly pricing clauses. At worst, we have annual pricing clauses. We have worked very hard to get out of any fixed price contracts, and we really started that work back in 2004. And as far as I know, we don't have any or any that are really material. I'm sure I could find one somewhere, but that's how we view pricing. Obviously, you have different price pressures in different businesses because raws don't all move in lockstep, and Energy and our Water businesses have more price pressure than other businesses as a percentage of raw increase and are, in turn, seeking, if you will, larger price steps from their customers to cover these; in an Energy case, also to cover price concessions given over the last few years during the downturn in the energy market. So this is a real work for our team. They've been on it. We've seen very steady sequential improvement in pricing starting in the first quarter of last year. We expect to see continued sequential improvement this year as we move through the year, and that is the numer one tool we're using to offset the raw material inflationary environment which I'd also say includes freight by the way, and it it's critical that we get this done. I'm confident we will but it is real work by the team which is appreciated and that's how we have to set ourselves up moving into next year.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Great. And just can you talk a little more about Institutional growth as it pertains to full service restaurants versus your solid growth in QSRs? Just what's your overall expectation in the intermediate to long-term for full service foot traffic? And given that you positively expanded the delta of your growth versus some challenging industry trends, is that positive gap sustainable if foot traffic, let's say, stabilizes or even turns positive based on new initiatives and new products? What's the best way to think about that? Thank you.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I think this 4% to 5% range, 5% when things are little bit better, might reach into 6% at times, I think is a range that is sustainable from Institutional alone, even given what I would call modest market or semi-challenging market conditions. So look, we continue to make sure that we secure share and secure great positions in all market segments. It's the best way we can predict – or, I mean, protect our ability to grow in almost all environments. We've done a good job there. We've always been after the emerging chains. We worked very hard in fast casual segment and done a good job securing share there as well. We do a good job partnering when it makes sense for customers between QSR and Institutional, as QSR increasingly looks to develop labor-saving devices, read warewash machines and other technology in their units because of the pressure on labor wages via both healthcare and just rising wages and the pressure on $15. So all of these things come to play. So I think I was very clear. For a while, Institutional was growing at the 7% rate, and I said it's not our terminal rate of growth. Don't bake this in. It's faster than we're going to see for the foreseeable future. And when we were at 3%, I was also saying, don't bake this in. This is lower than we anticipate and believe that we're going to see. Getting back in this 5% range is I think quite achievable and reasonable, and it's a reasonable expectation going forward.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: That's helpful. Thank you.
Operator: Our next question comes from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander - Jefferies LLC: Good afternoon. Can you talk a little bit about sort of the demand trends in Energy? I mean, you're going back so close to the energy crash (29:55) to get back the price concessions you gave. Can you talk a little bit about sort of is there any regional difference in where you're seeing traction or any customer mix issues that are complicating that effort?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Sort of it's the mirror and, I mean, it's opposite of what we I guess experienced in the downturn. WellChem is moving quickest and U.S. is moving quickest, and it did in the downturn and it is in the upturn. And so clearly WellChem is the fastest growth business, but it also had the largest decline. It's also we're seeing the earliest largest price traction, which you would expect because it had had the most price degradation as well as we went through. The good news is, as we went through the decline we would swap out technology when we had the lower price so that we protected, in most cases, our most efficacious technologies from taking big price declines. We are now reintroducing that technology because of needs of the market, i.e., to get more out of existing holes in the ground. That's working. I would say you're seeing in OFC better pickup in terms of sales in North America, again mirroring what we experienced before, i.e., U.S. went down fastest, it's now recovering quickest. We would expect to see recovery broadly around the global regions, starting more like next year. So there's still more in front of us we think even in this current price environment. So I don't know if that helps. Those are the areas. Downstream was more steady, I think you're seeing more steady. It's going to be mid-single digits this year. But there again we're getting pricing, because we had some concessions and we have raw material impact. So pricing is a focus in all three of the areas, but you're seeing the most dramatic pickup in WellChem.
Laurence Alexander - Jefferies LLC: And then in Institutional, are there any areas where you're looking at increasing the rate at which you're expanding the sales force, given the wider competitive advantage that you've been developing over the last few years? Does it then make sense to grow the sales force faster or to see growth after 2020?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah, I would – I think given the size of Institutional, I mean, you certainly get into this equation in many businesses where you need to hire sales people in advance of growth, given where they are in terms of development, particularly if you're smaller and you have a more underdeveloped sales team that – I mean, if you think at the very beginning of a business, if you don't hire anybody in sales, it's going to be hard to grow. Institutional is at a point of maturity where we're a little bit out of that mix globally on average. There are markets, read China, parts of Southeast Asia, even in cases in East Europe and some other specific areas, where we do have to add sales in advance of growth. And we are doing that and we'll continue to do it. But I would say in the more mature markets, i.e., U.S. and/or Western Europe, that's not really the situation we're in. We much more try to add almost as a percentage of growth or expected growth as we go through. We are adding but not at a dramatic rate.
Laurence Alexander - Jefferies LLC: Great. Thank you.
Operator: The next question comes from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thank you. Good afternoon, everyone. As price achievement goes from 1% plus or minus to 2% plus or minus, could you just help us understand how much of that's going to come from customers that are already giving you price increases, that are giving you more, versus customers that haven't? And are there any sort of deltas or differences that are important to understand between the segments? Thanks.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Well, I'd certainly think there'll be very few customers at the end of a two-year period who haven't been touched on pricing, i.e., last year and this year. And some in fact will have been asked for several price increases. It's very dependent upon the business and the raw material pressures in a given area and/or their product mix. So it's hard to generalize, but I'd just say many will have two. I mean virtually all will have one.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. And then just as a follow-up on raw materials or just inflation in general, are you at all affected by what's been going on with truck freight expense and things like that? Or do you have it completely within your own control?
Douglas M. Baker, Jr. - Ecolab, Inc.: No, we're impacted clearly. We use a lot of common carriers for both shipments in between facilities of our own shipments as well as customer shipments. Freight is a real challenge and we're doing a number of things. We're looking at our freight policies. We're looking at our freight breaks. We're reevaluating minimums and all the rest of the stuff. I mean, the best way to reduce freight is reduce shipments, and I don't mean reduced tonnage. So we've got to look at ways of economizing and being smarter here, and it's in our customers' best interest too. I would say everyone that's in business in the U.S. fully understands this and is experiencing it first hand. So it's not new, it's not real news, and nobody can pretend this is a made up issue.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thank you very much.
Douglas M. Baker, Jr. - Ecolab, Inc.: You bet.
Operator: Our next question is from the line of Hamzah Mazari with Macquarie. Please proceed with your question.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Hi, guys. This is Mario Cortellacci filling in for Hamzah. In the European Institutional business, could you give us an update on what you're seeing in the competitive environment?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. That's always been our most difficult competitive environment. It remains so. That's a truism for the last several decades. We don't expect it to change dramatically. I don't know that we've seen dramatic change in the competitive environment there. Our largest competitor is Diversey. They're with a new owner now. They remain quite price aggressive but they've been price aggressive for as long as I've been at the company, and that's almost three decades now which is tough to admit. So I don't know what to say. I mean, it's not our best performing business in that region. We've stabilized sales. We would expect based on leading indicators that we'll move to growth in the second half, be relatively flat to minorly up in the first half but nothing significant, but improved in the second half as it looks right now.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Perfect, and just one more and I'll turn it over. Could you update us on how you think about the timeline of reaching your 20% margin target?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Well I'd say the FX gods have finally coughed up a few points which we greatly appreciate. I would say this. I still believe this is a 20% OI business. And even when we rolled out that target, we were fairly clear to say it wasn't going to occur by 2020 but we got a little hung up on alliteration or at least the magic of 2020 and 20%. So I would say it's going to be in the early 2020s. I would certainly hope before 2025, but it's a goal that I think is achievable and is reasonable for this company to pursue. We look at other companies with the advantages that we have in technology and capabilities with customers. They achieve it. I don't see any reason why we can't also. The key isn't, from a customer standpoint, your margin; the key is the value. And if we continue to do a great job bringing great value to our customers, they're going to measure this not on what we make but on what benefit it brings to them, and that's how they calculate value, i.e. what they're willing to pay. So for us to do it, we've got to keep delivering and developing great new technology. I like what we've got in the pipeline. We'll see.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Thank you so much.
Operator: The next question comes from the line of Scott Schneeberger with Oppenheimer. Please proceed with your question.
Scott Schneeberger - Oppenheimer & Co., Inc.: Thanks. Good afternoon. Doug, can we focus on Water for a minute? Could you just speak to – kind of compare and contrast end markets, geography, how the pricing objectives are going there, and then maybe any thoughts on margin as we progress first half to second half? Thanks.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. So I would say the Water business had really pretty strong results in virtually every region. And if you look at sort of that core heavy/light Water business accelerated and its organic growth rate in the first versus the fourth, so it continues to strengthen in a number of areas. The only region and the only place that we are still recovering in in the core Water is really China heavy industry, and a lot of that has to do with what's been happening in China heavy industry, i.e. they've been shutting down plants and facilities and obviously you don't sell a lot when the facility goes out of business. That too will pass. I think we're in good position there to accelerate that business moving forward, so we feel good about where we are in Water broadly. From a pricing standpoint, I would say generally we're having good success in pricing. Asia is always a tougher environment to get pricing than the other markets but we are also pushing very hard to make sure that we secure pricing there as well. But I guess our Water team and I remain confident that we are going to secure the pricing we need to start seeing margin leverage in that business beginning in Q3 as well.
Scott Schneeberger - Oppenheimer & Co., Inc.: Okay, thanks, helpful. And then a little unorthodox on the follow-up question, but over – it's been about two years since Venezuela was deconsolidated, and clearly and unfortunately things have not gone better in that geography. Is that probably a never again for Ecolab or how should we think about that? Obviously it's been quiet and will probably remain so for the near-term, but just thinking longer-term is that something that probably will not return?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well every one of my either private or public predictions around Venezuela and the regime change and everything else have been completely wrong. So based on my track record, I would take all this with a grain on salt. Someday I got to imagine things will change politically in Venezuela. I have no idea when that's going to occur. We did have to deconsolidate. We no longer had control over that business in any reasonable way, and I think you've seen that play out for a number of companies over the last few years. We are still operating in Venezuela. It's not easy. We have literally 50-year customers in that market that we've worked very hard to continue to support as we go forward. They were customers before this regime. They will likely be ongoing entities post this regime. And so what we've worked very hard to do, and I'll just describe it because I don't think it's going to happen in the near-term, is preserve the option for the company by making sure that we support this business without investing more dollars, and that's a trek, so far so good. But it's important that we maintain, if we can, the support for these customers. They've been very important to us over a number of years and we want to make sure we do everything we can for them within reason. We won't do anything illegal. We won't put anybody in harm's way, et cetera, but it's a very, very challenging situation. So I wouldn't count on it and I certainly wouldn't buy the stock based on a Venezuela turnaround but we do work to keep the option open for the company.
Scott Schneeberger - Oppenheimer & Co., Inc.: All right. Thanks for sharing that.
Operator: Our next question is from the line of Bob Koort with Goldman Sachs. Please proceed with your question.
Christopher Evans - Goldman Sachs & Co. LLC: Hey, guys. It's Chris Evans on for Bob. I was hoping maybe we could get a little more color on the other income line that showed up in the quarter. I assume that's a consequence of some of the accounting changes you made. I just want to know what kind of margin impact for the segments that may have had and what to expect going forward.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I'm going to – Dan gets to handle this because it's pension and the new accounting changes.
Daniel J. Schmechel - Ecolab, Inc.: Right. So, yeah, what shows up now below our reported operating income is what I'll describe as the sort of non-service, which means the good guy part of the pension reporting. So on that other income line you basically have the expected return on pension assets and plus a bunch of other pluses and minuses, but I would think of it as primarily being the expected return on the pension assets. And as you can tell, it's up pretty significantly year-on-year just based on strong performance of the asset last year. The impact of pulling out the favorable aspect of pension out of operating income corporately is about a 50-basis point depression to reported operated income margins and I would think about that as breaking pretty evenly across the public segments plus or minus.
Christopher Evans - Goldman Sachs & Co. LLC: Thanks and appreciate that. And then maybe just going into Energy for a minute. You've previously guided to some of the comp rebuild kind of ending here in the first quarter, some of the raws pressure sort of lapsing a bit. So as we get into the second quarter is that maybe the first time you'll actually see the margin trajectory turn positive after a couple tough years?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I would say Energy is going to turn margin-positive year-on-year potentially Q2, it won't be dramatic. Q3, we're quite confident it will be positive by Q3. So I'd say over the next couple of months it's going to be turning positive from a margin standpoint. I don't know what the math is exactly is going to be in Q2 but I will tell you it will turn in Q2.
Christopher Evans - Goldman Sachs & Co. LLC: Thank you.
Operator: Our next question comes from the line of Dmitry Silversteyn with Longbow Research. Please proceed with your question.
Dmitry Silversteyn - Longbow Research LLC: Hello, good afternoon. Thanks for taking my question. Just wanted to touch on a couple of your businesses that are maybe smaller but have seen some difference in growth and I just want to make sure what's going on there. Number one is on your Pest business. It was up 8% excluding acquisitions. Should we continue to expect this high single-digit growth to continue and is it driven by you're getting more scale and better business in Europe or is it both domestic and European expansions? And also, when can we expect the 6% or so contribution from acquisitions to anniversary in that SBU?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Dmitry, I think the Pest business has been really performing at a very high level for several years now and we expect it to continue this year, so high single-digit type growth is I think a fair expectation. I certainly have it as we look at the business. And, yeah, they're doing it the old fashioned way. I mean, they're keeping customers and selling new ones. It's strong U.S. performance but also good performance in our Europe businesses which are other businesses of scale. So it's fairly uniform. They're doing a good job on some of the smaller international businesses as well and have improved those businesses. We had, if you went back a few years, couple businesses there that weren't performing in a satisfactory manner certainly from an operating income standpoint and they've improved as well. So I feel good about where we are in Pest.
Dmitry Silversteyn - Longbow Research LLC: And the acquisition anniversarying, is that a second quarter event?
Douglas M. Baker, Jr. - Ecolab, Inc.: For Pest?
Dmitry Silversteyn - Longbow Research LLC: Yes.
Douglas M. Baker, Jr. - Ecolab, Inc.: The Pest acquisition, I mean, what we internally call triples, fourth I think, second half.
Dmitry Silversteyn - Longbow Research LLC: Second half.
Douglas M. Baker, Jr. - Ecolab, Inc.: I don't remember the exact date sitting here, but in my head I want to say October, December – I don't – fourth quarter.
Dmitry Silversteyn - Longbow Research LLC: Okay. So it'll continue to be a driver through the next couple of quarters.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah, but acquisition-adjusted growth, right, is very favorable too. We take it out of that.
Dmitry Silversteyn - Longbow Research LLC: Right, which is why I wanted to differentiate the two. Okay. And then as a follow-up, I know you mentioned Paper as one of the areas that you're not looking to invest but it is a mid-single-digit grower for you lately and it hasn't all been every quarter but it certainly has been a low to mid-single-digit grower fairly consistently. Sort of how do you do that without making the investments or without making above minimum investments I guess? And what does this business have to do to change your mind about viewing it as a long-term contributor to your P&L and to your value proposition?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well, to be clear, we too like the Paper business, and our desire not to add to it through acquisition is not a statement that we don't like it. I don't plan on adding onto my home but I still like it. So I would say in the Paper standpoint, we do invest in it. We invest in R&D. We do not pull punches. If we're in a business, we're in it to win it. And we need to make sure that we stay in the inv1estments needed to meet customer needs today and tomorrow. And so we have a very active R&D portfolio. In fact, we have several real breakthrough items that have come through the Paper R&D development that frankly we think are going to be quite positive in other parts of our business as well. So I want to differentiate that comment. And so as long as we own a business, we're on the gas. We're working to grow it. There's some portfolio management about where do you really want to go put incremental dollars, and that's a diff1erent decision. So I'm with you. I like the Paper business. We've invested. It's done quite well for us. We always said it was maybe the third most attractive business, but it was still attractive when we purchased Nalco, so a lot of this is that history that goes back now seven, eight years. But since then, Paper EBITDA margins and all the rest have improved handily. And we're proud of what that team's accomplished and look forward to what they're going to accomplish going forward.
Dmitry Silversteyn - Longbow Research LLC: Hey, Doug, that's helpful. Thank you very much.
Operator: Our next question comes from the line of Shlomo Rosenbaum with Stifel. Please proceed with your question.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc.: Hi, good morning. Thank you – or good afternoon, thank you for taking my questions. Hey, Doug, we've had two quarters in a row of 6% organic growth in each of the quarters. There's some talk about things that might be a little bit more one-time-ish, but it seems like you've gotten to that level. Should we think that that's kind of a high water mark for the near-term in terms of being at 6% growth? Or is that something that you think could be a sustainable number, given the improvements that you're seeing within the business and the momentum? Can you talk about what could put that up versus down and where you're co with right now?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. No, I think the 6%, we've talked for a long time that we believe that's kind of a going rate for our business. I believe it's a going rate for the balance of the year. Whether every quarter exactly at 6% or some number right around it, could be above, could be below. But I think for the year our expectations would be in that range for organic sales growth.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc.: Okay, great. And just to follow-up, can you give a little more details about this comprehensive efficiency initiative? What exactly is it? Is it multi-year? What's meant to accomplish with this versus what you generally do in a kind of day in, day out, looking for efficiencies in the business?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. Well, the difference is that we've had sizable investments in systems. And we've talked about it, and we've talked about high water marks and that this has been important to us and we think setting the stage for the future. Well, whenever you're justifying those internally, obviously there's a return on that investment. And the return is typically driven by efficiencies. So we're getting at a point where there's some maturation on these system implementation plans. And it is now time to start putting in place the plans to specifically harvest, if you will, the efficiencies that these enable. And these aren't overnight efficiencies. These are efficiencies that you build over several years, but you've got to get after kind of a start date and get pushing on this fairly aggressively, or you never quite realize your full potential. And so what this is about is sort of declaring that it's time now to switch from investing to also implementing the efficiency benefits that we're going to see, and that's what we're talking about. So there'll be more conversation about this going forward. This will be another important lever in our arsenal. We always talk about continuing to drive OI margin over periods of time and certainly this is going to be one of the tools that enables us to do that.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc.: Great. Thank you.
Operator: Our next question comes from the line of Mike Harrison with Seaport Global. Please proceed with your question.
Michael Joseph Harrison - Seaport Global Securities LLC: Hey, good afternoon. Maybe building on the last question a little bit, the new customer installation and innovation investments that you referenced in the Institutional business, what's the timeframe for when we should expect to see you leverage those costs? Is that something that we kind of see the cost get covered over a couple quarters and then several quarters later you really start to see the return and see the leverage kind of accelerate from there?
Douglas M. Baker, Jr. - Ecolab, Inc.: Yeah. I mean, typically we end up covering a lot of the cost. What happens is when we have large installs and so, if you will, big new business, you end up with fairly significant install expense, some of which is depreciated, some of which is just taken to the P&L. And we've chosen to do that over the years, but that can get outsized on – when you do 13-week reporting, it can look and make that specific period look a little odd. That's the only reason we're talking about it. If it was just in the context of a whole year, it sort of gets smoothed out. But since we have quarterly reporting periods, we need to reference it so that people understand why we may have near-term margin impact. Once it's behind us and customers start consuming at going rates, you quickly end up smoothing any of that distortion out of your P&L, and so that certainly happens within a couple of quarters max, that you start getting at more going rate, if you will. But there's a little pain upfront. Now this is good pain. We like this. We'll take this all day long. A lot of this, this is in the Institutional segment, much of it's in our Specialty business in particular. But it's good news, but that's how this shows up and why.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. And then can you reference some delays in the rollout of SMARTPOWER, and you also mentioned that Europe was soft in Institutional. I'm just wondering are those two things related? Were we rolling out SMARTPOWER in both North America and Europe and that was supposed to happen over the past couple quarters and it was delayed?
Douglas M. Baker, Jr. - Ecolab, Inc.: The SMARTPOWER delay was principally in the U.S. It was supposed to go early in 2017. It went very late in 2017. So it's sort of old news but I referenced it last quarter and talked about it as one of the impacts and also one of the reasons we were confident that we were going to see a pickup beginning in Q1, which we did see.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. But is SMARTPOWER being rolled out in Europe this year?
Douglas M. Baker, Jr. - Ecolab, Inc.: It's being rolled out. It's rolled out in Europe and it's not rolled out in the U.S. too.
Michael Joseph Harrison - Seaport Global Securities LLC: Okay. Thank you very much.
Douglas M. Baker, Jr. - Ecolab, Inc.: Yes.
Operator: Our next question comes from the line of Rosemarie Morbelli with Gabelli. Please proceed with your question.
Rosemarie Morbelli - Gabelli & Company: Thank you. Good afternoon, everyone. I was looking at pricing, Doug. I mean, as a general rule year-in and year-out your price increases by 1% to 2%. So we are now in an inflationary environment and raw material costs are still going up as we speak, and so I was expecting a higher increase in pricing. Am I missing something? Are you doing something different?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well I would say typically, Rosemarie, when we're in a, let's say, a non-inflationary or even a deflationary, we'll continue to seek price. We may round to 1% but we're not getting 1% typically in those environments exactly. I would say we're talking about now moving up. This isn't corporately close or even over 2%. It's not exactly the same in every business. You have different pressures so some are going to be above that, some below. The other is, as we've talked in the past, pricing is one of the tools that we use to offset this; the other is new technology. And as we rollout new platforms, the new platform is typically priced double-digit ahead of the old platform if you equate it to a price per pound, kilo, or liter basis. And so that's I would say historically our number one tool. So it's all of these working together. But when you have inflation like this you can't only rely on new technology; you have to make sure that you're driving just, as we call it, naked pricing as well, i.e. you're getting $50 on this stuff and now I need $51, $52.
Rosemarie Morbelli - Gabelli & Company: Sure. And on the freight side, in addition to that probably 2% price increase, are you setting up surcharges which are not showing up in the pricing?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well we certainly are utilizing surcharges in certain businesses and geographies around freight because it's the fastest way to go start securing additional revenue to cover some of those costs. So we are doing that.
Rosemarie Morbelli - Gabelli & Company: Okay. And then if I may on the Colloidal Technologies. Could you share with us the size of it? And have you separated it in order to dispose of it or in order to really pay a lot of attention to it and grow it profitably?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well it's about $85 million or was last year. No, I mean, this isn't a big strategic move. It's more a move of how do you manage what's in what segment based on accounting rules amongst other things. So it's where it belongs. I mean, it's been managed well. Last year it grew double digits, so I don't have any real issue with the focus that's in place on the business at all.
Rosemarie Morbelli - Gabelli & Company: Okay. Thank you
Operator: Thank you. Our next question is from the line of Andrew Wittmann with Robert W. Baird. Please proceed with your question.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Hi, guys. Just on the guidance raise of $0.05. Was there anything more than just the fact that you beat the midpoint by, like what, $0.03 or $0.04 here that contributed to the range? Is there anything fundamentally in your outlook that changed?
Douglas M. Baker, Jr. - Ecolab, Inc.: Well we didn't. As I always say, we focus on our range, not consensus since it moves around all the time. So it wasn't really because we had a beat versus the average or the consensus number. I think it was really looking at our underlying business strength. We're obviously much further in the year than we were when we have to give the initial range and it was based on underlying strengths. A lot of the other factors sort of neutralize each other at this point in time, so it's really looking at sales trends, et cetera.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay. Thank you.
Operator: Thank you. At this time, I will turn the floor back to Mr. Monahan for closing remarks.
Michael J. Monahan - Ecolab, Inc.: Thanks. That wraps up our first quarter conference call. This conference call and the associated discussion slides will be available for replay on our website. Thank you for your time and participation. Our best wishes for the rest of the day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day.